Operator: 
Andy Cobb: Thank you, Gary. Good afternoon, and thank you all for joining us to discuss Impinj's third quarter 2025 results. On today's call, Chris Diorio, Impinj's Co-Founder and CEO, will provide a brief overview of our market opportunity and performance. Cary Baker, Impinj's CFO, will follow with a detailed review of our third quarter financial results and fourth quarter outlook. We will then open the call for questions. You can find management's prepared remarks plus trended financial data on the company's Investor Relations website. We will make statements in this call about financial performance and future expectations that are based on our outlook as of today. Any such statements are forward-looking under the Private Securities Litigation Reform Act of 1995. Whereas we believe we have a reasonable basis for making these forward-looking statements, our actual results could differ materially because any such statements are subject to risks and uncertainties. We describe these risks and uncertainties in the annual and quarterly reports we file with the SEC. We do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements, except as required by law. On today's call, all financial metrics, except for revenue, or where we explicitly state otherwise, are non-GAAP. All balance sheet and cash flow metrics, except for free cash flow, are GAAP. Please refer to our earnings release for a reconciliation of non-GAAP financial metrics to the most comparable GAAP metrics. Before turning to our results and outlook, note that we will participate in the Baird 2025 Global Industrial Conference on November 11 in Chicago, the UBS Global Technology and AI Conference on December 3 in Scottsdale, and the Barclays 23rd Annual Global Technology Conference on December 10 in San Francisco. We look forward to connecting with many of you at those events. I will now turn the call over to Chris.
Chris Diorio: Thank you, Andy, and thank you all for joining the call. Our third quarter results were strong with revenue and adjusted EBITDA exceeding the upper end of our guide range. Record endpoint IC volumes and better-than-anticipated reader volumes drove product revenue to a new quarterly record, with Gen2X's success solving challenging industry use cases behind a growing portion of that product revenue. We delivered that revenue outperformance despite weak retailer buying patterns and tariff headwinds, highlighting our strong market position and technical and product leadership. Starting with silicon, third quarter endpoint IC revenue exceeded our expectations. Supply chain and logistics led the way with our second large North American end user now fully deployed in domestic parcel delivery. Retail volumes grew modestly, buoyed by the upcoming holiday season, but with a cautious note as our partners and end users buy into demand rather than ahead of it. We expect third quarter to mark the seasonal peak for both supply chain and logistics and retail endpoint IC volumes, with fourth quarter volumes stepping down modestly. Partner channel inventory remains healthy, declining slightly in third quarter. Turning to reader ICs. Third quarter revenue met expectations with the richest E Family mix to date. Looking to fourth quarter, conservative ordering by our Chinese reader IC partners will push revenue lower. Longer term, we see strong E Family growth, including from multiple overhead reading deployments and pilots that leverage Gen2X, creating pull for our M800 endpoint ICs. In solutions, we saw strong third-quarter revenue led by our Lighthouse accounts. We delivered more readers to our second large North American supply chain and logistics end user in the quarter than we expected, as they continue driving new use cases. Those use cases should generate meaningful fourth-quarter reader revenue as well, as deliveries will step down as rollouts stretch into 2026. We also saw meaningful third-quarter reader revenue from the visionary European retailer, but here again expect a step down in the fourth quarter due to project phasing. To be clear, the size and scope of these rollouts remain intact, but timing will nudge fourth quarter systems revenue down slightly sequentially, bucking the typical seasonal growth trend. Despite the stretched time lines, our end users, both current and new, continue asking for our help with their business challenges. Solving those challenges requires not just radio know-how, but also software from ML at the edge to cloud services. So we are aggressively hiring technical and business talent to develop that software and win the recurring revenue opportunity. Last week, we hired an SVP of SaaS and Cloud Services to lead our development, heartwarming for me because he was a student of mine at the University of Washington 25 years ago. He, our CTO, and others across the company are digging into opportunities, including e-commerce, leveraging the strong foundation of our platform, endpoint ICs, and Gen2X uniquely offer for solving those challenges. I'd like to again say a few words about Gen2X. Years ago, when we spearheaded developing the industry's radio protocol, we and others recognized that we couldn't create one single overarching protocol that addresses all market verticals and use cases. So we built into the final protocol the flexibility for customizations. We have now proved the foresight in that choice with Gen2X, which is native in our M800 endpoint ICs, E Family reader ICs, R700 readers, and adopted by many of our industry partners. Our Gen2X customizations have helped us deliver retail loss prevention, supply chain and logistics conveyor sorting, and now partners are using them for overhead retail reading. We are today enhancing Gen2X for food and e-commerce and will, over time, introduce differentiated endpoint ICs that help solve key use cases and win those markets. Turning to food, which is by far our largest opportunity, product freshness and supply chain efficiencies are driving pallet, case, and item level deployments with 2 opportunities now public. There are others, including pilots at point of sale and for assisted self-checkout. Although we still expect food endpoint IC volumes to be modest this year and in the first part of next, our engineering and go-to-market organizations are forging silicon, software, and business innovations to help unlock the food opportunity. We are well-positioned to do so. And as the leading grocers adopt, we expect other grocers to follow. On the organizational front, I'm thrilled to welcome Arthur Valdez to our Board. Arthur has more than 30 years of experience leading global supply chain and logistics operations for major e-commerce, retail, and consumer enterprises. His expertise transforming and optimizing supply chain and logistics networks for large consumer-facing companies will be invaluable as we continue advancing our vision of connecting everything. Arthur, welcome to Impinj. In closing, our solutions and Gen2X focus continue paying dividends in revenue, adjusted EBITDA, recurring endpoint IC volumes, and market leadership. Our market opportunity continues expanding with more opportunities for secular growth in retail, supply chain and logistics, food, and a long tail of other applications. As we continue driving our bold vision, I remain confident in our market position and energized by the opportunities ahead. As always, before I turn the call over to Cary for our financial review and fourth quarter outlook, I'd like to again thank every member of the Impinj team for your tireless efforts. I feel honored by my incredible good fortune to work with you. Cary?
Cary Baker: Thank you, Chris, and good afternoon, everyone. Third quarter revenue was $96.1 million, down 2% sequentially from $97.9 million in second quarter 2025 and up 1% year-over-year from $95.2 million in third quarter 2024. Third quarter endpoint IC revenue was $78.8 million, down 7% sequentially from $84.6 million in second quarter 2025 and down 3% year-over-year from $81 million in third quarter 2024. Excluding the $16 million second-quarter licensing revenue, endpoint IC revenue grew 15% sequentially. Looking forward, we expect fourth quarter endpoint IC revenue to decline sequentially, but on the favorable side of normal seasonality. Third quarter systems revenue was $17.3 million, up 30% sequentially from $13.3 million in second quarter 2025 and up 21% year-over-year from $14.2 million in third quarter 2024. Systems revenue exceeded our expectations, driven by reader strength in supply chain and logistics. Looking forward, we expect fourth quarter systems revenue to decline slightly sequentially, driven by project timing, as Chris already noted. Third quarter gross margin was 53% compared with 60.4% in second quarter 2025 and 52.4% in third quarter 2024. The sequential decline was driven primarily by licensing revenue. The year-over-year increase was driven primarily by lower indirect costs. Excluding licensing revenue, third-quarter product gross margin increased 40 basis points sequentially, driven primarily by endpoint IC product margin, including M800. Looking forward, we expect fourth quarter gross margin to increase sequentially. Total third-quarter operating expense was $31.8 million compared with $31.5 million in second quarter 2025 and $32.5 million in third quarter 2024. Operating expense was below expectations as our team exercised good fiscal discipline. Research and development expense was $17.8 million, sales and marketing expense was $7 million. General and administrative expense was $6.9 million. Looking forward, we expect fourth quarter operating expense to increase sequentially. Third quarter adjusted EBITDA was $19.1 million compared with $27.6 million in second quarter 2025 and $17.3 million in third quarter 2024. Third quarter adjusted EBITDA margin was 19.8%, a new quarterly record on a product revenue basis. Third quarter GAAP net loss was $12.8 million. Third quarter non-GAAP net income was $17.7 million or $0.58 per share on a fully diluted basis. Turning to the balance sheet. We ended the third quarter with cash, cash equivalents, and investments of $265.1 million compared with $260.5 million in second quarter 2025 and $227.4 million in third quarter 2024. Inventory totaled $92.6 million, down $3.6 million from the prior quarter. Third quarter capital expenditures totaled $2.9 million. Free cash flow was $18 million compared with $4.7 million in third quarter 2024. Before turning to our guidance, I want to highlight 2 items specific to our results and outlook. First, in September, we issued $190 million of 0% convertible notes while simultaneously repurchasing $190 million of our 1.125% convertible notes. This transaction reduces our interest expense, lowers our underlying share dilution, and breaks our maturity profile into smaller tranches, the latter increasing our ability to leverage our balance sheet in managing that convertible debt. Second, we have consistently projected gross margin leverage in our long-term model. We expect that leverage to be on display in the fourth quarter, where we have embedded more than 100 basis points of sequential gross margin accretion in our guidance. Turning to our outlook. We expect fourth quarter revenue between $90 million and $93 million compared with revenue of $96.1 million in third quarter 2025, a quarter-over-quarter decrease of 5% at the midpoint. We expect adjusted EBITDA between $15.4 million and $16.9 million. On the bottom line, we expect non-GAAP net income between $14.7 million and $16.2 million, reflecting non-GAAP fully diluted earnings per share between $0.48 and $0.52. In closing, I want to thank the Impinj team, our customers, our suppliers and you, our investors, for your ongoing support. I will now turn the call to the operator to open the question-and-answer session. Gary?
Operator: [Operator Instructions] Our first question is from Ezra Weener with Jefferies.
Ezra Weener: The first one would be about readers. Q3 is much stronger. You're talking about a little bit weaker Q4 versus seasonal up. Can you just talk a little bit about what that timing means? Was it pull into Q3? Is there a push out to Q4? And then assuming it is pull in, what does that mean for endpoint IC ramp timing?
Cary Baker: Ezra, this is Cary. Thanks for the question. I'll take the first part of that. So originally, we thought we would grow revenue -- systems revenue in the fourth quarter, but probably not achieve kind of normal seasonality because we guided our Q3 systems so strong. Q3 actually turned out stronger than we anticipated. So there's going to be a natural step down as we move from Q3 to Q4. We also saw, as Chris alluded to in the prepared remarks, some of the project timing just shift to the right, which is just exacerbating that a little bit. So instead of growing as we typically would, systems revenue in the fourth quarter, we're down slightly sequentially.
Chris Diorio: Yes. And Ezra, I'll just add that, as I said in the prepared remarks, the size and scope of the rollouts remain intact. What we're seeing is some of the end users adapting in real time to the market environment and adjusting how they phase their rollouts and kind of where they put their emphasis. And so we're seeing a little bit of push in the fourth quarter as a consequence of that internal adjustment. I wouldn't read -- there's nothing to read into it in terms of pullbacks -- these are not pullbacks. They're just real-time adjustments at the end-user level to what's going on in the macro environment.
Ezra Weener: And then the second would be, I think we all saw the Walmart announcement with Avery. Can you talk a little bit about what that means in terms of timing and sizing for you guys?
Chris Diorio: Yes. Why don't I start, Cary, and then you jump in? So, I presume you're alluding to the food news. Grocery -- Walmart. Yes, the grocery. So I'm going to start by saying we're very excited by that news. It's not a surprise to us, but we're very excited that it's out there. The theme in this announcement and the prior Kroger announcement are to improve product freshness, reduce waste, and lower costs. And that's an important theme for the industry. As I mentioned in our prepared remarks, we highlighted another longer-term theme, which is improving the shopping experience. But there are no public announcements yet on that front. But you combine the 2 of those, the freshness opportunity and the customer shopping experience opportunity, and we're very excited about food. We expect modest food volumes through first half '26 and accelerating from there. The pacing really is set by the complexity of rolling out at scale. And you think about it, you've got thousands of stores, got a lot of categories of items. You literally have tens of thousands of employees who need to train. You got to change how you do your operations. You got to build the back end out. These kinds of deployments at this kind of scale at any major enterprise take time. But as we've seen in some of the others, aviation, retail, and others, once retailers move forward and see the successes, they continue to go forward, and other parts of the industry adopt. So we feel good about where we are. We feel about the opportunities for rollout. M800 and Gen2X are very well positioned, and we will be driving hard into the food opportunity in 2026. Cary, anything you'd add?
Cary Baker: Yes, Ezra, I'd just add that the volume estimates that are out there are not unreasonable. We view this as a multibillion-unit annual opportunity when it's fully ramped. But to Chris' point, it's just always difficult to judge the pace of deployments, especially one of this size, until we get into it. So give us a little time to figure out what the pacing looks like. But I'll just reiterate what Chris said. We're very excited not only about what this opportunity means with Walmart, but what it means to the rest of the grocery community, who can leverage the work that Walmart is doing.
Operator: The next question is from Harsh Kumar with Piper Sandler.
Harsh Kumar: Congratulations on very good results. Chris, I had a multipart for you for starters, and then I have one for Cary. So we hear about the announcement that was just talked about with Walmart, bakery, meats, et cetera, and tagging. Is there a fundamental problem in tagging vegetable grocery, leafy greens, and other things that compromise the other vast majority of the volume? Or is that just the next step of the evolution? And part 2 of my question is, Chris, I'm hearing you use the word e-commerce a lot all of a sudden in this call. I've never heard you say that in this much detail. Is there something that -- I guess I'm trying to understand the significance of it, or if you're trying to take the enterprise strategy to the next level and help with e-commerce in some way?
Chris Diorio: Yes. So thank you, Harsh. Thanks for your questions. I will address both of them in order. So on the grocery side, you're seeing announcements in bakery, deli, and meat products. There are very significant expansion opportunities beyond that. As you've alluded to with produce, you should look at first at perishable categories as being the areas where grocers will see the most immediate opportunity. But then, of course, as I alluded to in the prepared remarks, there are also opportunities for the consumer experience, which requires tagging all the items. Specifically around produce, fruits, and vegetables, there is no fundamental limit that prevents us from tagging those items. It simply is a call mechanical limit or just kind of a functional limit, specifically, how do you do the tagging? What we're seeing some of already is grocers put some of the items in bags, and you can tag the bag fairly easily, or in spring containers, or other things. Individual items are just harder because getting the tag on and keeping it on. You will see innovation on the tagging front, but I think you're also going to see innovation on the packaging front to make that produce tagging possible. Turning to e-commerce. I use that word intentionally. Yes. I don't want you to read too much into it right now, but we are seeing 2 significant trends. One is an interest across many of our customers, enterprise end customers for a direct from DC or warehouse to consumer, and that's in the retail space, in the supply chain and logistics, and other areas. And the second one is 3PL opportunities. And so enterprises acting as 3PLs for other enterprises. The net of those I'm using is a broader e-commerce term. You are correct. It's the first time I've meaningfully used that term, and it was intentional and expect us to push forward hard into that e-commerce and attempt to expand and grow there. And as I said in our prepared remarks, I see opportunities for differentiation at the endpoint IC level, the reader IC level, and the software level to address those opportunities, both grocery and e-commerce.
Harsh Kumar: And my follow-up question to Cary is pretty impressive. I think you're implying 100 basis points of margin increase in the fourth quarter, Cary, if I heard you correctly, -- and is that all from M800? Or is there some other stuff at play over here?
Cary Baker: It's a lot of M800. We're also now fully selling the 2025 costed wafers. So we're getting the benefit of wafer costs matched to 2025 pricing. But you're starting to see us flex the M800 muscle that we've been talking about for a while. Now I think the M800 ramps to volume runner in Q4. I don't think we reach the terminal mix though of the M800 until 2026 sometime.
Operator: The next question is from Christopher Rolland with Susquehanna.
Christopher Rolland: There was a press release by what appears to be a competitor of yours talking about getting some traction using Bluetooth as RFID or like RAIN alternative. So I'd love to know, Chris, in particular, your take on this technology? Is it disruptive? Or conversely, does it have significant drawbacks, and what those are? And if it was a compelling technology, would you guys or could you offer this Bluetooth alternative as well?
Chris Diorio: Okay. Thanks, Chris. I'll do my best to answer the question. I'll give -- I'll say some things. And then if you have a further question on that, I'm happy to engage back and forth. So RAN RFID is ideal for item tagging with huge volumes and a huge opportunity. We've talked multiple times in the past about other technologies like vision, and now with Bluetooth beacons here that can help fill in the gaps. Yes, we can make RAIN RFID ICs, sense pallet temperature or humidity. In fact, our industry standardized those capabilities in the radio protocol back in 2012, 13 years ago. But the volumes to date have been tiny and are still small. So we're focused where the volumes are right now. I would say that some complementary technologies filling in the gaps is helpful for enterprise adoption. If the volumes become large, we can look at either that technology or using RAIN RFID to accomplish the same objective. But given the size of the volumes right now, we are focused on the food opportunity, the e-commerce opportunity, supply chain and logistics, the big opportunities where the volumes are orders of magnitude larger, and we'll stay focused there until we see some meaningful change. So I view them as gap fillers. Did that answer your question?
Christopher Rolland: That did, Chris. Perhaps just following up kind of on a couple of comments you made. The first was about the second large North American supply chain logistics vendor. You said that they were now fully deployed in parcel delivery. So does that mean -- sorry, say that again?
Chris Diorio: Yes. Domestic parcel deliveries, not international, but you keep going. I interrupt you, I apologize.
Christopher Rolland: So does that mean that the full infrastructure is fully deployed? Like do they have readers everywhere they basically need them? And then in terms of tagging individual items, has this reached an attach rate that you think is normal? Or do you think they grow from here as, call it, a percentage of parcels?
Chris Diorio: So I'm going to start with the first question first. For all of our Lighthouse enterprise, including that one, they're never fully deployed. They always have new use cases. They're always coming to us with new opportunities. They're always thinking and inventing, and they're looking to us to help them think and event and event. So you should look to us to continue talking about fixed reading opportunities, mobile reading opportunities, new tagging opportunities, and just more. I view our engagement with them as a true partnership, a close partnership, a partnership among friends. They trust us to not let them down. We will not let them down, and we will be there to support them. In terms of the actual tagging volumes, yes, they're fully deployed in domestic parcel delivery, but that's just domestic parcel delivery. There are opportunities in other areas of their business in international, and then in their expansion opportunities, including in e-commerce opportunities for them. So we see growth opportunities on the endpoint IC side, on the reader side, on software side, on helping them as a Lighthouse partner win in their respective market opportunity.
Cary Baker: And Chris, this is Cary. I would just add that while they're fully deployed domestically right now, as Chris said, they haven't been that gateway for the entire year. So there's potentially opportunity on a year-over-year basis just as they're fully deployed next year.
Operator: The next question is from Scott Searle with ROTH Capital.
Scott Searle: Great job on the quarter. Maybe to dive in on some of the gross margin commentary, but specific to Gen2X and some of the software investment. I'm wondering a couple of things on the Gen2X front. Is it delivering shares now that is demonstrable that you're seeing in terms of your customer buying patterns? And in terms of the customization opportunity then from an endpoint IC standpoint, does this permanently move you guys into a different gross margin realm on the endpoint IC? And then maybe as a follow-up to that, talking a little bit more about software and recurring revenue, Chris, I'm wondering if you could flesh that out a little bit more in terms of what that means and where it goes. In the past, we've talked about things like authenticity. But how does that evolve? How does that look in the future?
Cary Baker: Scott, this is Cary. I'll take the first part of that. So from -- does Gen2X drive share to Impinj? We sure hope so. It's too early to say and comment specifically on share, but this is exactly why we launched Gen2X. This is exactly why we licensed Gen2X to the reading community for free is so that we can not only solve previously unsolvable opportunities for our end customers, but we can also drive endpoint IC share to Impinj. So give us until kind of February, March time frame next year, we'll comment on whether or not we were able to grow share again in 2025. From a gross margin accretion perspective, think of Gen2X as native in the M800. So not driving any more gross margin than the M800 was already slated to, but helping to drive adoption of the M800.
Chris Diorio: And, I will try and answer your question. So the genesis of a lot of our Gen2X customizations was Lighthouse Enterprises coming to us and asking for -- basically presenting us with a problem that they've got a challenge and us addressing that challenge. And so our Lighthouse Enterprise accounts use Gen2X because we actually invented some of the capabilities in it to enable them to deploy. So we view it as very least helping us maintain those accounts for us going forward, expand from that basis into other accounts. Now in terms of diversification, we see further opportunities in Gen2X to innovate on the endpoint IC, as I said, the reader IC, and in the software. As we migrate down Moore's Law and get to more advanced process nodes for the endpoint IC, we have access to more digital capabilities. Those capabilities allow us to add features to the endpoint IC that we just couldn't do in the past. And you mentioned some of them, the cryptographic authentication, but there's more. There's lots more. We've only scratched the surface. And so expect us to continue advancing those Gen2X capabilities in concert with our lighthouse enterprises. They present us problems. We solve them. We roll it into Gen2X, and we continue from there. I'm not going to cite any specific additional opportunities right now. Just please note that they're there. Now in terms of what it means for software specifically, I guess that was the last part of your question. I'm going to take a minute to answer that question. In every information industry, if you go back decades, that industry first has to build the hardware foundation. Think about mobile phones for 20 years. We spent the '80s and the '90s building the hardware foundation. So by the 2000s, early 2000s, we flip phones. But there was no -- there was just phones, you made calls. Only when the foundation is sufficiently mature, can you really start monetizing the information in apps and data services, solution management, AI, and just a whole bunch of stuff. So our industry is close enough to that maturity point that it's time to invest in that information. We get there by investing in every layer of the stack, the endpoint IC, the reader IC, and the software. Now there's a fun twist with the endpoint ICs and that they're recurring silicon. But even there, think of the endpoint IC as a data carrier on which to build those SaaS and cloud services. So we -- as we add Gen2X innovations in the endpoint IC, we will leverage those innovations in the reader IC. We will build software solutions on top of it that look more and more like apps today for enterprises in the future for consumers, and create a virtuous cycle by which our platform enables that information economy on the Internet of Things. That is our vision, and it stems from the significant enhancements we're making around Gen2X.
Scott Searle: And Cary, if I could just throw out typical pricing negotiations and decreases as we go into the first quarter, kind of early thoughts in terms of how we should be thinking about endpoint IC pricing in the first quarter and traditional seasonality.
Cary Baker: Yes. We are just getting into endpoint pricing conversations right now. So I don't have a lot of color to provide at this point. We'll definitely provide insight next quarter.
Operator: The next question is from Jim Ricchiuti with Needham & Company.
James Ricchiuti: Chris, I'm not sure if you can elaborate on this, but you were just kind of touching on it. But when you talk about enhancing Gen2X for food and e-commerce applications, can you help us understand a little bit more about what that might entail and what challenges you might be solving or addressing?
Chris Diorio: Thanks, Jim. Thanks for the question. thinking how I want to answer it. Jim, I can't -- I'm going to tell you upfront, I'm not going to be able to give you a sufficient answer to -- because I don't want to disclose our product plans. What I'm going to say is this, the radio link, the over-the-air link, is for all practical purposes an endpoint IC talking over-the-air to a reader IC with software controlling the reader IC. Think of it that way. What we've learned from our Lighthouse accounts is that we need to customize all 3: the endpoint IC, the reader IC, and the software. And there are major opportunities to customize all 3, not just to improve the radio performance, think beyond that, to really drive apps to drive additional information, to drive use cases. And I guess I'll do it by analogy. So again, going back to the mobile phone analogy, by the early 2000s, a lot of the infrastructure was built out. Then it took Apple really to come up with the touchscreen to enable apps that consumers could use to drive the industry forward. That was one of the key innovations that turned a hardware-based technology into something that was an information-based technology that people could use. We have that level of opportunity in terms of driving information value around RAIN RFID in our future. I'm not going to say more about how we get there, the time frame in which we're going to get there, what the innovations are going to be, how many there are, but they're in there. And I believe, fundamentally, we're just scratching the surface on what we can do.
James Ricchiuti: Well, we'll have to stay tuned on that. Cary, a question for you. As we think about these opportunities, it sounds like -- and correct me if maybe I'm just misinterpreting it, but how might we be thinking about operating expense? It sounds like do we -- should we be thinking about higher investments in R&D? You're getting a nice lift from gross margins, but I'm wondering how do we think about OpEx going forward in light of some of the opportunities you're going after?
Cary Baker: Yes. So expect us to continue investing. Our OpEx is going to increase in the fourth quarter. We've held it fairly flat throughout most of the year. But it's going to increase in the fourth quarter. And then you know you've been following the story long enough that there's seasonal increase of OpEx in the first quarter and then that kind of increases again in the second quarter, then moderates thereafter. I don't see any change to the seasonal spend patterns that we've had in the past. But we will always stay true to the long-term model that we put together a few years back, and that is every single line item that we have in our spend will deliver leverage, less so in engineering, because that's our primary focus of investment. But still, we will have leverage in the R&D line. We'll have leverage in sales and marketing, and clearly leverage in the G&A line.
Operator: The next question is from Guy Hardwick with Barclays.
Guy Hardwick: I think you said earlier, you're fairly comfortable with some of the numbers discussed out there in terms of volumes. But in terms of some of the numbers I've seen is the Walmart opportunity alone could be as much as 5 billion labels over the, say, once fully ramped over, say, 2 to 3 years. And since Kroger is maybe half the size of Walmart or maybe better bigger than that, we're talking about maybe a $7.5 billion combined between the 2. First question is, are you comfortable with those sort of numbers? And secondly, I understand that Impinj is the sole provider in the pilots of, say, 40 to 60 stores at Walmart. But how long would you expect to remain the sole provider as typically customers suppliers over time?
Chris Diorio: Why don't you take the volumes? I'll take the first.
Cary Baker: So Guy, we -- as I said earlier, we think this is a multibillion unit opportunity on an annual basis once it's ramped. There's a lot of categories within freshness in food. There's a lot of SKUs. So we really need to see what the rollout timing is for each of those categories, each of those SKUs to give a sense of what the final number in terms of units are. But under any scenario that we envision, it's a multibillion-unit opportunity per year.
Chris Diorio: And then, Guy, you had asked about our current position in those rollouts and pilots and whether we are able -- and essentially, how are you going to sustain that position? So we feel today we are very well positioned in many, if not all, of the ongoing pilots and deployments. We believe that's a result of the performance of our products, the quality of our products, the effort that we have put in with others, and a healthy dose of Gen2X. What we also see is a set of -- I'm not going to use the word challenges. I'm going to use the word opportunities, a set of opportunities in the food space for continued innovation. And we will be driving those innovations, pulling them into Gen2X, and put distance between us and our competition in terms of readability, in terms of findability of items, in terms of scanability, in terms of the data that we and they provide in terms of the reliability of the overall solution. So look to us to drive those innovations, measure us against our success, creating and building those innovations. And if we're successful in so doing, which I have every intention of being, look to us to hold good share in the food space.
Operator: The next question is a follow-up from Ezra Weener with Jefferies.
Ezra Weener: Yes. Just a very quick one. I know the last couple of quarters, you've talked about not guiding any turns. I didn't see that in the prepared remarks this time. Could you just comment on that?
Cary Baker: Yes. Ezra, this is Cary. So I'll take a shot at that. So we continue operating in a very dynamic market. In the third quarter, we saw more turns than expected, but we also saw the same trend of partners requesting changes to delivery timing and location continue. In a typical quarter for endpoint IC, we have 2 to 3 weeks following earnings to turn business given -- turn business for the quarter, given our current lead times. Since we've not seen a standard environment all year, we're not -- we're going to take a similar approach to our guidance that served us well in the second and third quarter. So looking into Q4 for endpoint ICs, we've assumed very minimal turns, less than a week's worth. And then on the systems side, we've assumed more normal turns to reflect the typical end-of-year enterprise hardware buying patterns of the channel portion of our systems business.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Chris Diorio, Co-Founder and CEO, for any closing remarks.
Chris Diorio: Thank you, Gary. I'd like to thank you all for joining the call today. And I'd especially like to thank you for your ongoing support. Thank you, and bye-bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.